Operator:
Bob Drennan:
Jim Rogers:
Lynn Good:
Jim Rogers:
Operator:
Dan Eggers - Credit Suisse:
Jim Rogers:
Dan Eggers - Credit Suisse:
Jim Rogers:
Dan Eggers - Credit Suisse:
Jim Rogers:
Dan Eggers - Credit Suisse:
Jim Rogers:
Operator:
Kit Konolige - BGC:
Lynn Good:
Kit Konolige - BGC:
Lynn Good:
Kit Konolige - BGC:
Lynn Good:
Jim Rogers:
Operator:
Michael Lapides - Goldman Sachs:
Jim Rogers:
Michael Lapides - Goldman Sachs:
Lynn Good:
Michael Lapides - Goldman Sachs:
Lynn Good:
Michael Lapides - Goldman Sachs:
Lynn Good:
Operator:
Andy Bishop - Morningstar Financial Services:
Jim Rogers:
Operator:
Ashar Khan – Visium:
Jim Rogers:
Ashar Khan – Visium:
Jim Rogers: Okay. Again, thanks a lot and thanks again on a very, very successful year.
Ashar Khan – Visium: Okay. Again, thanks a lot and thanks again on a very, very successful year.
Jim Rogers:
Operator:
Michael Lapides - Goldman Sachs:
Jim Rogers: Thank you sir. That does conclude today’s teleconference. We do thank you all for your participation.
Michael Lapides - Goldman Sachs: Thank you sir. That does conclude today’s teleconference. We do thank you all for your participation.
Operator: Thank you sir. That does conclude today’s teleconference. We do thank you all for your participation.
Jim Rogers: Thank you sir. That does conclude today’s teleconference. We do thank you all for your participation.